Operator: Good day and thank you for standing by. Welcome to the Akoya Biosciences Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Priyam Shah, Head of Investor Relations. Please go ahead.
Priyam Shah: Thank you, operator, and thank you to everyone who's joining us today on this call. I'm Priyam Shah, Head of Investor Relations at Akoya Biosciences. On the call today, we have Brian McKelligon, Chief Executive Officer, and Johnny Ek, Chief Financial Officer. Earlier today, Akoya released financial results for the second quarter ended June 30, 2024. A copy of the press release is available on the company's website. Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning of federal securities laws, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that relate to expectations or predictions of future events, results, or performance are forward-looking statements. Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors. For a list and description of the risks and uncertainties associated with Akoya's business, please refer to the risks identified in our filings with the U.S. Securities and Exchange Commission, including in the risk factors section of our annual report on Form 10-K for the year ended December 31, 2023, filed on March 5, 2024, and 10-Q filed today, August 5, 2024. We urge you to consider these factors, and you should be aware that these statements are considered estimates only and are not a guarantee of future performance. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, August 5, 2024. Akoya disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. The audio portion of this call will be archived on the investor's section of our website later today under the heading Events. Lastly, Akoya will be participating in the upcoming Canaccord Genuity Growth Conference and the Morgan Stanley Healthcare Conference, and we hope to see many of you there. And with that, I will turn the call over to Brian.
Brian McKelligon: Thank you, Priyam, and good afternoon or evening to everyone. We appreciate you joining us today. During today's conference call, I will provide an overview of our performance in the second quarter, highlight our business and operational advancements, as well as strategic decisions aimed at positioning our company for long-term growth. Following that, Johnny will delve into our financials, key trends, and our outlook for the future. We are pleased to report revenue of $23.2 million in the second quarter, a 26% sequential increase from the $18.4 million in the first quarter, and stable year-over-year performance. Our new Manufacturing Center of Excellence in Marlborough, Massachusetts, is now fully operational and was a key contributor to the rebound this quarter in both reagent volumes and instrument placements. In line with our objectives for the quarter, we were pleased with our ability to deliver strong sequential growth across all revenue categories, especially on instruments. Instrument revenue reached $8.3 million, reflecting a 70% sequential revenue growth with 51 instruments placed in the second quarter versus 30 instruments in the first quarter, a robust rebound and trajectory. Reagent revenue totaled $7.4 million, a 27% increase from the prior year, and sequential growth above the $7 million we reported in the first quarter. We now have a total install base of 1,264 instruments, the largest in the industry, and a fully available catalog of molecular barcoded antibodies and accompanying reagents manufactured internally. Service and other revenue totaled $7.2 million for the second quarter, an increase of approximately 14% over the prior year period, and 17% sequential growth over the first quarter. A vital objective for Akoya in 2024 is to optimize our operating efficiency and deliver operating cash flow break-even by the end of the year. In the first half of this year, we completed several strategic initiatives to support our efforts to achieve this goal. First, as noted earlier, our manufacturing center of excellence is now fully operational and has enabled a near complete overhaul and refresh of our entire molecular barcoded antibody catalog. We not only resolved the reagent availability challenges faced earlier in the year, but also now have robust reagent development and manufacturing capabilities. Our focus will now turn to continued process optimization, catalog expansion, and reagent gross margin improvements. Next, we completed comprehensive reorganization efforts to optimize and align our teams with our corporate objectives. This included two restructurings, one in January and a second more recent one in July. In aggregate, we implemented a workforce reduction of approximately 35% compared to end of year 2023. In parallel, this allowed us to consolidate our functions from four facilities to two core facilities in Marlborough and included the closing of our Menlo Park California offices and labs. We believe we now have the disciplined P&L necessary to support our financial goals, return to meaningful growth by the end of 2024, capitalize on the emerging and exciting clinical opportunities, and deliver sustaining value to our shareholders. Shifting focus, let's review our product portfolio. The PhenoCycler Fusion, or PCF, now with 236 combined units in the field, is the top selling spatial proteomics platform for the discovery in translational markets. It features a unique two-in-one system, supporting scalable molecular barcoding for high plex tissue analysis of up to 100 plex, while in parallel, enabling high throughput, low to mid plex studies using off-the-shelf third-party antibodies with our gold standard opal chemistry. The PhenoImager HT, or HT, of which we now have 368 in the field, is the only clinical grade spatial platform on the market, actively being used in biopharma prospective clinical trials. The HT has three core attributes that make it stand alone in the clinical market. First, it has proven technical robustness, sensitivity, and reproducibility for multiplex immunofluorescence at an unmatched throughput of greater than 300 samples per week. Second, it has been developed under ISO and full design control and deployed in a CLIA setting. And finally, with our partners at Acrivon, it is on a potential path to achieve U.S. regulatory approval, having been granted breakthrough device designation by the FDA for the Acrivon ACR368 OncoSignature assay, coupled to fast-track designation for their ACR368 therapy. We believe our pharma partners see these attributes as confirmation of the HT as a viable clinical platform and as clear evidence of Akoya's expertise and organizational capabilities to deliver on and support a companion diagnostic. The annualized pull-through is now in the low to mid $50,000 range for the PCF and high $30,000 range for the HT. We expect this to increase along with our installed base. We continue to direct our content and application development efforts to not only address the significant market opportunities in oncology and inflammatory disease, but with our manufacturing now up and running, we are poised to accelerate our efforts into additional markets, like neurobiology and preclinical drug development. We also continue to lead the market in publication volume, reaching a total of 1,450 publications citing Akoya's technology as of the second quarter, a 47% increase from the prior year. This growing number of publications underscores the broad utility and trust researchers have in our platforms. Akoya's comprehensive product portfolio supports the continuum from high-plex discovery to routine clinical diagnostics. According to the 2024 DeciBio Spatial Biology Market Research Report, proteomic phenotyping using multiplex immunofluorescence will be the key driver of spatial biology market growth over the next five years. DeciBio specifically identified Akoya as the leading provider, with products ideally suited for clinical trial, support and spearheading the commercialization of spatial proteomic companion diagnostics. On our first quarter earnings call, we announced several significant late-stage clinical development updates and have a strong momentum in this emerging business segment. These included, as noted earlier, our biopharma partner Acrivon's promising Phase 2 clinical trial progress using the ACR368 OncoSignature assay deployed on our HT platform to identify ovarian and endometrial cancer patients who may benefit from their ACR368 therapy. We also announced an exclusive partnership with NeraCare to enable personalized therapy selection for early-stage melanoma. Their immunoprint assay has demonstrated robust clinical performance in identifying early-stage melanoma patients at high risk of relapse through multiple independent prospective and retrospective clinical studies. The data demonstrates that the immunoprint high-risk patient group is ideally suited to potentially benefit from the therapeutic options that would usually only be administered in later stages. We believe that this would represent a significant expansion of the TAM for current melanoma therapies. Immunoprint had a strong presence at this year's American Society of Clinical Oncology meeting, and we are making significant progress in our pharma partnership discussions. And finally, we announced the NMPA approval of the HT instrument in China, enabling its integration into clinical workflows across hospitals throughout China. Over the last year, within our advanced biopharma solutions CLIA Lab, we have also seen the rapid transition of our CLIA Lab services migrating from project-based translation work to now predominantly higher-value, longer-term clinical trial studies, making up approximately 90% of the ongoing programs. The rapidly increasing use of multiplex immunofluorescence across early- and late-stage drug and diagnostic assay development signal that the clinical trial market is approaching quickly and has the potential to fundamentally transform the spatial biology landscape. We believe Akoya has the only true clinical-grade spatial platform with the HT, affording us a significant head start and leadership position in the clinical markets. In closing, we are pleased with our commercial rebound in the second quarter and the progress of our clinical programs. Given market conditions, our first-half finish, and operating efficiency gains, we believe we are well-positioned to achieve our second-half financial objectives and exit the year with a return to top-line growth while meeting our goal of operating cash flow break-even. And with that, I will now turn the call over to Johnny to discuss this in more detail. Johnny?
Johnny Ek: Thank you, Brian. As Brian highlighted, total revenue for the second quarter of 2024 was $23.2 million, a 26.2% sequential quarter-over-quarter increase, and is now at a stable baseline compared to the prior year period. Product revenue, including instruments, reagents, and software, totaled $15.9 million for the second quarter. Total instrument revenue was $8.3 million, a 70.4% sequential increase from the first quarter. We placed 51 instruments in the field this quarter, a substantial increase from the 30 instruments placed in the first quarter of 2024, and more in line with the expected quarterly placement trajectory we had in 2023. Our industry-leading installed base now totals 1,264 instruments, including 374 PhenoCyclers and 890 PhenoImagers. We delivered $7.4 million in reagent revenue in the second quarter, reflecting a 5.6% sequential increase from $7.0 million in the first quarter and a 27.0% year-over-year increase from $5.8 million in the prior year period. The annualized reagent pull-through continues to climb across our instrument portfolio, of which the PCF and the HT are the primary contributors. The PCF, the combination of a PhenoCycler and a fusion, now totals 236 in the field, and as of the second quarter has an average annualized pull-through in the low-to-mid $50,000 range. The HT, of which there are now 368 in the field, as of the second quarter has an average annualized pull-through in the high $30,000 range. Service and other revenue totaled $7.2 million for the second quarter, a 16.6% sequential growth from $6.2 million reported in the first quarter, and a 13.6% year-over-year growth from $6.4 million reported in the prior year period. Services have been a growth segment for us, as our instrument warranty and field service revenue have rapidly expanded, coupled to our large install base, in addition to our lab services business driving higher-value clinical studies through new and existing biopharma partnerships. Gross profit was $13.4 million in the second quarter, representing a 59.8% sequential increase from $8.4 million reported in the first quarter, and a 10.5% year-over-year increase over $12.1 million reported in the prior year period. Gross margin was 57.8% in the second quarter, compared to 45.7% reported in the first quarter, and 51.5% in the prior year period. As we drive increases in our reagent revenue mix, leverage the full capacity of our recent manufacturing investments, and execute on our identified operations optimization efforts, we expect to improve our inventory utilization and to continue to expand our gross margin through 2024 and beyond. Operating expenses were $24.5 million in the second quarter, compared to $30.0 million in the first quarter, an 18.3% sequential decrease, and $31.4 million in the prior period, a 22% year-over-year decrease. Loss from operations was $11.1 million in the second quarter, compared to $21.6 million in the first quarter, a 48.6% sequential decrease, and $19.2 million in the prior year period, a 42.4% year-over-year decrease. As Brian noted, in addition to cost-saving measures in the first quarter, we took actions to reduce operating expenses through a workforce reduction at the end of July, further streamlining our operating costs for the balance of the year. Looking ahead to the second half of 2024, we remain committed to our goal of operating cash flow break-even and a return to top-line growth as we exit the year. We believe that if we can successfully achieve our revenue projections, leverage the stable and improving gross margins, and maintain our new baseline operating expenses, we will continue to reduce our loss from operations and are well-positioned to achieve adjusted EBITDA positivity as we exit 2024. We ended the quarter with approximately $48.7 million of cash, cash equivalents, and marketable securities, common shares outstanding and fully diluted shares, including the impact of outstanding options and unvested restricted stock awards, our $49.5 million as of June 30, 2024. In summary, we made significant operational progress in the first half of 2024 and saw significant sequential growth in the second quarter while we continued to execute our strategy to reduce operating losses and improve cash flow. We have assessed our first half revenue performance along with market conditions that will enable continued top-line improvement in the second half of 2024, and we accordingly maintain our commitment to operating cash flow break-even and a return to top-line growth by the end of the year while at a reduced revenue target. We are therefore updating our revenue outlook for the full year 2024 to be in the range of $96 million to $104 million. Back to you, Brian.
Brian McKelligon: Thank you, Johnny. We look forward to executing our strategic and financial objectives throughout the remainder of the year as we drive the business forward. And we're thankful for the hard work of our fellow dedicated acquaintance, as well as for the continued support of our customers and shareholders. And at this point, we'll open the call up to the questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of William Bonello with Craig Hallum.
William Bonello: A couple of follow-up questions here. The first one, just on the operating cash flow, so obviously part of what's giving you confidence is the reduction in workforce that you put in in July. Are there any other sort of metrics that you can give us that sort of tell us maybe where you're at on a sort of cash burn run rate as you came out of the quarter or post the July workforce reductions, just some more reasons to feel confident about that progress?
Brian McKelligon: Yes, I think what we can do, and maybe, Johnny, you can just do some high-level scenarios on with now the more controlled and reduced operating expenses, what that means in terms of as we look to balance our top line with achieving that operating cash flow break-even and positive adjusted EBITDA, kind of what do we have to deliver to kind of hit those benchmarks? Maybe, Johnny, you can talk through that directionally a little bit to give Bill a better sense. But thanks for the question, Bill.
Johnny Ek: Yes. Hey, Bill. So the way we look at the back half as we consider the OpEx reductions, we expect to get to a sort of call it 20 million, 21 million. We'll end up being our run rate OpEx is how we project it. While not guiding specifically, that's how we see the run rate. And so by Q4, once we have fully factored in this cost reduction effort that we took in this quarter, even in July, we'll start to get to that run rate. And if you do some math we've sort of outlined in prior calls is, if you take our Q4 revenue sort of within our guide that we've highlighted, keeping it at the margin that we've also highlighted sort of in that low 60% range gross margin, and then if you use that reduced OpEx, you pretty quickly can get to a cash used in operations view that is positive in Q4. So what we try to do is really just highlight those building blocks sort of in using the information we provided, including the updated guide, a gross margin in that low 60 range, and then with this new OpEx, you drop down to a positive or break even as you exit the year cash from operations.
William Bonello: Sorry. I made it again. Thanks. That's really helpful. And then maybe you could just talk a little bit about the revenue guidance that caught us a little bit by surprise, sort of what you're seeing that caused you to take the guidance down and just thoughts on that. What's your level of confidence at this point that they're not coming down again?
Brian McKelligon: It's a good question, and I think that as we were kind of going through the process here, we looked at what we think was a strong rebound in Q2 with, as we noted, a 70% sequential increase versus Q1 in terms of instruments, and typically that's about a 15% to 20% walk from Q1 to Q2 in terms of the step-up. So a meaningful step-up on instruments. We look at our reagents and our continued trend for sequential increases that we've seen over the last number of quarters. I guess the fundamentals, Bill, is we looked at the scale of the rebound as we closed the quarter and realized that it was a little bit behind the pace we needed to support our second half recovery, and so we thought based on those data points and the continued macro pressure, just a much more prudent second half growth. But again, thankfully in parallel with the proactive restructuring we did, we're able to reaffirm our commitments to operating cash flow breakeven. It was really, Bill, just around the scale and the pace of the bounce back in Q2 while meaningful, it was going to have a pretty big ask for the second half bounce.
Operator: Our next question comes from a line of Kyle Mikson with Canaccord Genuity.
Kyle Mikson: Really good quarter. So let's actually go back to the guidance, please. Can you talk about if the issues related to the Center of Excellence are fully resolved? It seems like maybe, but I just wanted to give you the opportunity to dive into that a little bit. And then also, could you walk through how you've recognized that biopharma trial revenue that was delayed from 1Q but then was expected to be captured by the end of this year? The point is, are we getting that to a good baseline and now there's nominal downside to the updated guidance given the current market conditions?
Brian McKelligon: Yes. So that the Center of Excellence is fully operational. So it's up and running. And that was sort of realized as we kind of walked from March into April. So it's completely fully operational, as we noted in the opening remarks. You know, we have really kind of remanufactured and reestablished our full catalog present on site in our Center of Excellence. So it's completely done. Our catalog is completely refreshed. And our customer KPI metrics in terms of on-time delivery, we're meeting and exceeding those internal metrics. So it is finished and it is complete. And then as I noted in the opening statements, the next phase is really to focus on the bombs and the specific cause on a product-by-product basis and continue to optimize not just the gross margins there, but also as our management of inventory to maximize working capital. So completely resolved. The revenue in terms of the clinical milestones, that's pushed really to second half and it's committed. So that's embedded within the guide.
Johnny Ek: And I would just add, Kyle, Johnny, I would just add, we recognize really exactly what we expected to in Q2 from that contracted revenue. We have contracted opportunities and then new opportunities in the funnel. But all those that we expected to, we recognized in the second quarter. And then to Brian's point, there's more in the back half. And I would also just add, one of the pluses, if you will, of getting our Center of Excellence fully operational is we found efficiencies there that allowed us to take action as part of the reduction in force that were kind of found savings, if you will, by some of the support around that Center of Excellence really drove efficiencies because we weren't managing a supply chain that sort of spread all over. And so that's part of the cost reduction that we were able to take in Q2. Some of that was found in that getting that Center of Excellence fully operational.
Kyle Mikson: Okay. Yes, that was great, guys. And then maybe just continuing on the guidance reduction, how much of this reduction here was due to like some sort of lack of visibility on the instrument side, given maybe like extended or elongated kind of capital purchase, like situations and dynamics? Or maybe just like, pressure utilization, maybe there's less demand or the kind of projects that are already being worked through and consumables are needed to be ordered. What exactly is the delta here? Is it on the instrument side or consumable side for that product revenue line item?
Brian McKelligon: It's just really, Kyle, it's just really a more refined, tightened outlook for second half. Certainly the capital purchases pressures are still there, though those have not abated. But as we look to a more refined outlook for second half, given that we've got now a much higher degree of predictability on the outlook given with acute scenarios like we faced in Q1 with our reagent challenges, coming into Q2, we just got a more refined outlook on the expectations for instrument sales cycles, close rates, et cetera. So that's really what it was, just a tightened, more refined outlook, given that we've now eliminated that variable, that I would say somewhat self-imposed variable of our manufacturing challenges, now just solely focused on standard pipeline metrics.
Kyle Mikson: Okay. If I could ask just one quick one. I think that the PCF pulled through in the 50,000, I guess below the mid-50,000 range. I think, I believe that was pretty similar last quarter. Have you like, Brian and John, how do you guys feel about that number? And is there a lot of upside to that or like a high ceiling?
Brian McKelligon: I think we're just going to continue to -- I think the way I like to look at it, Kyle, is I like to look at, I think quarterly it's, you know, you have some flow to that. If you just look at, you know, first half versus first half prior and look back the last three to four years, we've consistently seen about a 25% to 30% year-over-year increase as you look at first half this year versus first half last year. And that's a byproduct of what we've been talking about over the last several years, which is just the continued incremental improvements in workflow, in speed, in availability of content. And that's why we just continue to see this northern, this up and to the right march of pull-through. And we think that that rate of pull-through expansion is going to continue as we continue to make investments in expanding plex level, expanding workflow efficiencies, getting into adjacent markets like I noted on the call, like neurobiology market and the preclinical drug development market. So I think the trend is going to continue from the mid-50s at a similar rate into next year and the year beyond. So I think that that slope will maintain.
Operator: Our next question comes from a line of Tejas Savant with Morgan Stanley.
Tejas Savant: Hey, guys. Thanks for the time here. Brian, just kind of looking at some of the comments you just made there around the COE reagent manufacturing transition largely having sort of gone to plan and fully operational now. I think you also talked about that milestones that were pushed out in the first quarter, they're all sort of on track to be realized here by year end. So that sort of leaves the third leg of the stool there, which was the elongated sales cycles, right? And yet you had instrument revenue and placements come in pretty strong in the second quarter. So was there any pull forward of demand here? And when you look at your order funnels here as they stand today, they don't support sort of that continuing into the back half of the year. Is that the right interpretation as we think about the $8 million that you've taken out from the guide here?
Brian McKelligon: So I missed the second part of your question, but there was no pull forward. And I think what resolving the manufacturing challenges enabled us to do is it enabled us to really double down and begin to rebuild and reaccelerate that pipeline, returning to quote somewhat normal levels of instrument placements. So, you know, the 51 is close and approaching to kind of our standard average quarterly instrument placement over the last year or so. So it's really just a recovery and a resurgence. It was not a pull forward. Did that answer your question? I missed the second part of your question, though, Tejas.
Tejas Savant: Yes. No, I mean, it was just that is it just the funnel relative to what you placed in 2Q makes you incrementally more cautious in the back half of the year?
Brian McKelligon: Oh, I see, with respect to not being more aggressive. It's just that the relative vertical ramp in terms of instrument placements, without the reguide, it's a pretty accelerated ask with the understanding that the sales cycles, even with our recovery, have not contracted.
Tejas Savant: Got it. Okay. That's helpful. And then as you think about, you talked about that 30% headcount RIF relative to year-end 23, can you share a little bit of light around, what gives you the confidence that, you know, in a sense, like the question we're going to get tomorrow is [indiscernible], like, cut its way to growth, right, and cut its way to a recovery? And I get it that you're still on track for cash flow breakeven by year-end. But just give us some color around, you know, organizational morale, how confident you are that you have what you need to drive that, recovery and lean into it as the macro sort of picks up. And then what are the options you're looking at to fortify the balance sheet here?
Brian McKelligon: Yes, in terms of the former, and I'll let Johnny speak to the latter, you know, any time you do a restructuring, it's difficult on the organization. And qualitatively, what we have done is we really consolidated and streamlined, you know, both our R&D and operational functions really to drive in a, you know, a consolidated organization the product development activities around continued reason development and workflow improvements. That was really the focus of the realignment. And look, you always have to make choices. As you know, at a high level, there's always a choice and a tradeoff between investing in growth and driving to profitability. And we just felt in today's environment, kind of given where we were coming out of Q1, we have to really strike a balance right now between continuing that growth, but ensuring that we meet our bottom line goals. We don't feel like we're cutting our way to growth. We certainly had to mute our growth. That's the reality. But we feel like we've got the organizational structure in place to return to those growth trajectories and do it in a manner where it's actually contributing to profitability. We just had to really strike a much tighter balance, given where we were in Q1, given what's happening in the market. And today was a great example of really trying to find a balance between investing in growth and driving to profitability.
Johnny Ek: Yes. And as it relates to the balance sheet, certainly we, cash is very important to us with just under $50 million at the quarter end, which we're able to cut our cash burn effectively in half from the last quarter. And if we're able to continue to do that again and again to year end, we get to the point where we're exiting at that cash flow break, even with sufficient cash to turn that corner. And then as we have growth next year, as Brian has alluded to, the back half growth with growth again next year, maintaining this baseline OpEx and this low 60s gross margin and kind of moving up into next year, we feel we've got the cash to execute what we need to execute. At the same time, driving to cash flow positivity, showing that streamlined OpEx allows us to approach and continue to work with our debt partners and others with a stronger P&L to settle any capital needs that we have into the future. But really, it puts us in a different position than we've been in prior years where when you're just burning so much cash, it's a different negotiation, a different position to be in as you strengthen your balance sheet.
Tejas Savant: Got it. And last one for me, Brian, as we think about the competitive landscape here, can you just give us an updated snapshot of what you're seeing out there, both in terms of incremental pricing pressures and just sort of where you see the pricing environment evolving, right? Because one of the themes in the second quarter has been some irrational pricing and so on in certain pockets of the market. Just curious as to what you guys are seeing there and to what extent is that sort of factored into the guide?
Brian McKelligon: Yes, it's a really good question. It's not really about, I would say, pricing pressure in terms of, for example, ASPs on instruments. I think what was interesting Tejas is that with the manufacturing challenges we had in Q1, I think we admittedly created a window of opportunity for others to try to step in and take market share. But with it fully resolved, as Kyle kind of asked about, we are really only in a minority of sales opportunities running into direct head-to-head competition. And I would say that we are routinely winning those now. That's at least how we're looking at it. And that's happening across geographies where we're seeing direct kind of head-to-head competition. Again, in a minority of cases. It's not in every case. And some of the reasons why at least we're hearing that we're winning those head-to-heads is because of the higher plex. In fact, the larger imaging area is super important for customers, for large tissues or multiple tissues per slide, and the increased throughput. So those are some of the big reasons why we think we're winning, in addition to, I think, the value of the PhenoCycler fusion as a two-in-one system for high plex discovery and then high throughput validation. So it feels like to us, Tejas, that the competitive pressures, I think, for us, feels like it has shifted in our favor. But again, we'll wait to hear how this continues well for the year. But we feel like we're in a pretty strong position to kind of maintain that market leadership position.
Operator: Our next question comes from a line of David Westenberg with Piper Sandler.
David Westenberg: And sorry, the recurring theme is on the guide. But I think it is going to be kind of the area of focus for a lot of investors here. So I think some of the other analysts have gotten to just kind of the sales cycle here. So I just want to ask in two different things. One is a build on Tejas' question in terms of was there any maybe instruments benefit that you got in this quarter from, of course, the disruption from last quarter? And I'm talking about actually the sales funnel versus the actual placements. And then building on Kyle's question in terms of the lengthening of cycles here, can you remind us what is the typical sales cycle? I'm just trying to figure out the actual visibility that you have in the guidance based on the funnel that you have. And sorry, I know that was a really long question. But I promise I'm only going to ask one follow-up.
Brian McKelligon: So just to make sure I'm precise, the 51 instruments that we sold this quarter doesn't represent a magnified artificial bump relative to what we would have expected without the challenges in Q1. It represents a step function up on the path to returning to instrument numbers like you've seen from us historically. So it wasn't an artificial bump in terms of either the closed opportunities or the resurgence of the funnel. But the refunnel, it does resurge, it does deepen, it does widen because we put the reagent challenges behind us. Now you're more able to proactively build that funnel in the face of sales cycles. We do have precise numbers, David, in terms of the number of days each product takes. And I will tell you that it's gone, directionally speaking, from a six to nine month to something that's a little bit longer. So hopefully that answers your question with respect to the quarter instrument placements, the funnel itself, and the lengthened sales cycle. I wouldn't say lengthening. I would just simply characterize the current sales cycles in Q2 are similar to what we saw in Q1 and prior quarters.
David Westenberg: Got it. And then I'll just ask a short one since that one was really long and you have a lot of analysts covering. So anyway, just in terms of, can you remind us in terms of seasonality? I know that a lot of your peers are going to have back halfway to quarters just with that budget flush in academic and then fourth quarter with commercial. But you do have a different ASP profile than, say, your transcriptomic peers. So just any way we can think about that seasonality. Thank you.
Brian McKelligon: Our typical seasonality is Q1 is the smallest, Q4 is the largest. And Q2 and Q3 are generally similar. That's the typical seasonality. Q2 and Q3 are typically similar and between the Q1 low end and the Q4 high end. So there's almost three tiers, Dave. That's how you should look at it. Q1, and then Q2, Q3, and then up into Q4.
Operator: Our next question comes from the line of Rachel Vatnsdal with JPMorgan.
Rachel Vatnsdal: I know there's been a lot of questions on guidance here, but I just wanted to dig a little bit further on it. I guess, can you walk us through the trends that you saw throughout the quarter? Obviously, it sounds like you saw some continued momentum, but was there any sudden falloff in trends or order funnel that happened either late June or July that we need to be aware of that kind of suggests some of this guide down here?
Brian McKelligon: Yes, that's a really good question. And we haven't talked a lot about our instrument pacing intra-quarter. Good question from David around seasonality. But typically, what we see, and in doing this for almost 30 years, this is typical of the life sciences market, that within any particular quarter, within month one and month two, you're doing between, call it, 35% and 50% of your total quarterly revenue. And within the third month of that quarter, you're doing half, sometimes 60% of your total instrument sales with any particular quarter. So, you not only have seasonality, but you have intra-quarter, month one through month three trends. And so, you really get the visibility on your quarterly performance within that third month.
Rachel Vatnsdal: Got it. That's helpful. But maybe just to push a bit further, so did you see anything materialize that happened in that late June or even into early July that's suggesting some of this guide down? Like, was this just coming in slower than the pace that you had expected? Or did you actually see a reversal in trends and this actually getting worse throughout the late months of June?
Brian McKelligon: That's a great question. No, it's just pace. It's just pace. It was really just, again, about the pacing of the close as we close June going into July and then looking at the breadth of the funnel and doing a real bottoms-up and top-down forecast given the number of opportunities in the funnel, the expected growth of that funnel, our conversion rates, and all the metrics and math around that. So, the pace of Q2, the size of the funnel, the expected funnel expansion is what informed how we looked at the second half on instruments.
Rachel Vatnsdal: Okay. Thanks for that clarification. That's really helpful. Then, my follow-up, just in terms of capital budgets, you've mentioned that the pressure there just hasn't abated. So, can you unpack that a bit for us? We've seen some of the headlines around pressure on academic and government budgets. Pharma obviously continues to be weak as well. So, what did you see across your key customer segments in terms of budgeting dynamics this quarter and then did any of those get better or worse?
Brian McKelligon: So, no material shifts in trend lines, but I would say, let me take it two ways. So, our system utilization was pretty strong in kind of the academic government and biopharma setting. The system utilization in CROs was actually contracted a little bit as we saw more and more projects come internal to biopharma out of CROs. That was a trend that we saw. That's more of a consumable trend. On the instrument side, in both academia and biopharma, still the continued pressures on capital purchases consistent with what we saw in the prior quarters. But similar to what I just talked about in system utilization, we do see a lot of challenges within the CRO settings and I think you've seen some commentary from others like that as well.
Operator: Our next question comes from the line of Subbu Nambi with Guggenheim Securities.
Ricki Levitus: Good afternoon. This is Ricki on for Subbu at Guggenheim. Thanks for taking our question. You mentioned the NMPA approval for the HT instrument in China. Some of your peers have signaled encouraging trends in China. Others have said it's still been challenging. Could you please provide us some color on the environment you saw in China in the second quarter and then also how you're thinking about that in the guidance for the rest of the year? Thanks.
Brian McKelligon: Yes. So the NMPA approval in China really, it's not going to have any immediate real impact on the instruments as we kind of work with our partner there to gear up the clinical utility and validation study. So that's more of a longer term on the clinical side. And on the RUO side, there's really been no material change in China. There's been a lot of talk about the stimulus and while we've seen a real material increase in the number of RFPs and quoting that has gone out, we don't think those are going to really impact or be realized until 2025.
Operator: Our next question will come from the line of Mark Massaro with BTIG.
VivianBais: Hey, guys. This is Vivian on for Mark. Thanks for taking the question. So just as far as CapEx placements, do you think we've gotten to a more sustainable kind of normalized range of this 50 to 70 clip? You edged that here in Q2. So, just to confirm, is it your understanding that this will continue going forward? Just any more granularity that you can share to help us get comfortable with the new guide aside from that additional 2 million in services that you're expecting in the back half? Thank you.
Brian McKelligon: Yes, I think we'll see as we look to the second half. Obviously, Vivian, we don't guide quarterly, but qualitatively, we expect, I think, similar trends into the second half as we saw in Q2 with some incremental improvements, certainly as we get into, as we were discussing with David, kind of the seasonality in Q4. So I do think as you look back at the kind of the average or number of instrument placements you saw last year, I do think we begin to kind of incrementally continue to improve on that, particularly as we get into Q4. So hopefully that answers your question, Vivian.
Operator: Our next question comes from a line of Tim Cheung with Capital One.
Tim Cheung: Hey, thanks, Brian. Johnny, you guys talked about this recent restructuring in July. How big is this restructuring relative to the restructuring in January? Was this a smaller reduction in headcount? I mean, is there any more granularity you could provide? And will this have any sort of impact to the third quarter revenues this year?
Brian McKelligon: No, to the latter. We think we've been able to accomplish this restructuring without kind of impacting the core business. For example, kind of the revenue-carrying portion of our commercial team was slightly affected, but not in any significant way. And I think what you'll see in the terms of the restructuring charges, Tim, it's very similar to what you saw in Q1. So we didn't give the specific number of employees, but it was sort of at a similar scale.
Tim Cheung: Got it. And maybe just one follow-up for Johnny. Johnny, you sort of mentioned to get to cash flow break-even by year-end, you need to get your gross margins into the low 60% range. What needs to happen? I mean, is it just more tweaking of the product placements, or is there anything else that has to get done to get you from around what 58% gross margin for the second quarter up into the low 60s by year-end?
Johnny Ek: Yes. So, good question. As we built out our revenue forecast and kind of can see the components of revenue, they each carry different gross margins, and so the mix of the revenue has a lot to do with it. Some of our contracted service business has some strong revenue, kind of milestone-based. Our instruments and reagents are holding strong margins, which allows us to have visibility into that low 60s. It's really about getting the volume of revenue back where we kind of want it to be and know it should be, which absorbs a lot of the costs that we brought in to establish our in-house center of excellence. And so, with that, and a better utilization of inventory, one of the natural weights on margin, as you might expect, is reagent inventory if it expires or something happens that becomes obsolete in the channel, et cetera. And so, bringing that all in-house really made a meaningful difference that we'll be able to reap benefits as we get a couple quarters out from the go-live of the center of excellence. Because it allows us to have much better visibility to the utilization of our inventory, the ability to have longer-dated inventory, et cetera. Because it's the natural case in a business like ours when you have reagents that expire, you have to make sure you manage them carefully so you don't have any expiry issues. And so, that's always has been a historic weight on our margin, and as we go live with our center of excellence, it allows us to manage that much, much better, and that allows for that margin expansion that we expect.
Operator: Our next question comes from a line of Mason Carrico with Stephens.
Mason Carrico: A lot's been asked here, so I'll keep it to one. On the cash flow break-even target, do you have any additional levers that you can pull going forward from a cost standpoint, or is this break-even target highly dependent on the revenue range that you've laid out in the guide?
Johnny Ek: I would say it's two things. It's the revenue -- making sure we hit our revenue target. Certainly, that's really important, given the fact that we have stable and improving and very good visibility to gross margin. We have very good visibility to OpEx. Obviously, the majority of our spend is headcount. We know what our headcount is, and as a result, we can really pretty well predict our OpEx. It's working capital, how working capital moves, and that's really just timing. As you know, it's AR, it's AP, it's the use of inventory. So, that could move us positive or negative on that break-even target, and then revenue is the other piece of it, absolutely. So, those are really the two movers on that break-even.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Brian McKelligon for closing remarks.
Brian McKelligon: Well, listen, thank you all for your time. We appreciate all the questions. Just in closing, I would say that we're pleased with our rebound in the second quarter and looking for a strong second half, simply put, to meet both our top and bottom-line goals. So, we thank you all for your time and looking forward to following up.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.